Operator: Good afternoon, everyone. Thank you for participating in today's conference call to discuss StarTek's Financial Results for the Second Quarter ended June 30, 2020. Joining us today are StarTek's Chairman and CEO, Aparup Sengupta; the company's President, Rajiv Ahuja; and the company's CFO, Ramesh Kamath. Following their remarks, we'll open the call for your questions. Before we continue, we would like to remind all participants that the discussion today may contain certain statements, which are forward-looking in nature, pursuant to the safe harbor provisions in the federal securities laws. These statements are based on information currently available to us and are subject to various risks and uncertainties that could cause actual results to differ materially. StarTek advises all those listening to this call to review the latest 10-Q and 10-K posted on its website for a summary of these risks and uncertainties. StarTek does not undertake the responsibility to update any forward-looking statements. Further, the discussion today may include some non-GAAP measures. In accordance with Regulation G, the company has reconciled these amounts back to the closest GAAP-based measurement. The reconciliations can be found in the earnings release on the Investors section of their website. I would like to remind everyone that a webcast replay of today's call will be available via the Investors section of the company's website at www.startek.com. Now, I would like to turn the conference over to StarTek's Executive Chairman and Global CEO, Aparup Sengupta. Sir, please proceed.
Aparup Sengupta: Thank you very much, Scott. Good afternoon, everyone, and thank you all for joining. Although we continue to face challenges related to the COVID-19 pandemic across geographies, we still emerged as a stronger, more efficient organization during the second quarter. We drove sequential improvements each month on the top and the bottom line, and our virtual command center has allowed us to make quick decisions and keep our operations as smooth and continuous as possible across the globe. We have continued to prioritize our team's health and safety during these uncertain times. With the status of lockdowns and reopening's around the world constantly fluctuating, we moved quickly to get our entire global workforce, either working from home or in one of our delivery campuses under strict social distancing and recommended health guidelines. Today, approximately 25% of our global workforce is back in one of our delivery centers, and 65% of our workforce is working remotely, thanks to the Star Cloud, our new technological capability that enables our team members to deliver seamless and high-quality customer service, no matter where they are in the world. Rajiv will provide more details on this new platform later on in the call. But having approximately 90% of a total workforce now actively scheduled after operating with just 60% of a global team in April, has significantly improved our position to address the continued strong demand from many clients. I'm extremely proud of our team's flexibility and efficiency in making these large-scale adjustments so quickly. In addition to helping our team members adapt to this new work environment, we are also focused on making sure our clients are equipped with the right technology to address the evolving needs of their customers. Both current clients and prospects have been increasingly adopting digital services in response to the pandemic, particularly in high-growth verticals that are experiencing elevated customer demand. In industries such as healthcare, e-commerce and cable and media, our partners business are rapidly evolving and the need to ensure that digital capabilities evolve as well as so that they can keep pace with the customers' expectations. Our momentum in these industries point to a strong and growing opportunity. Our business development teams have done a fantastic job during this time by driving new opportunities in these areas while also expanding programs with existing clients. In fact, we have already signed two new healthcare clients with strong potential for growth, one of which will be rolled out in the third quarter. Subsequent to the quarter, we entered into an amendment agreement for our senior term loan and revolving credit facility. The agreement continues to provide for a $140 million term loan facility along with a $20 million revolver credit facility. However, the amendments now provide us with a deferment of principal payments until February 2021. And as many of you saw in the 8-K filed last week they have allowed us to increase the facility from $20 million to $27.5 million. The majority of our financial governance have also been waived for the remainder of the year including covenants related to cash flow cover, interest cover and adjusted leverage ratio. These amendments underscore our lenders' confidence in our strategy and growth potential as well as our improving business trends. While we cannot fully predict how the effects of the pandemic will play out, we are confident in the resiliency of our business and our strategy in this environment. We will have more context to provide on our ongoing response to the pandemic and our strategic initiatives later in the call. But first, I would like to – I would like to turn this call over to our CFO, Ramesh Kamath to take you through StarTek's financial results for the second quarter. Ramesh, over to you.
Ramesh Kamath: Thank you, Aparup. In keeping with the structure we used last quarter, I will keep my review of the second quarter results brief. Net revenue for the quarter was $142.2 million compared to $160.6 million in the second quarter of 2019. Net revenue in the second quarter this quarter, continued to be impacted by the government-mandated lockdowns in response to the pandemic in many of our geographies, along with corresponding reductions in our active workforce. Gross profit for the quarter was $15.8 million as compared to $27.6 million in the second quarter 2019 and gross margins were 11.1% compared to 17.2%, the decline in gross margin was primarily driven by continued impact from second quarter lockdowns in key geographies such as India, the Philippines and Honduras. Selling, general and administrative, SG&A expenses, decreased to $14.6 million compared to $24.9 million in the year ago quarter. As a percentage of revenue, SG&A improved 520 basis points to 10.3% as compared to 15.5% in the year ago quarter. With the improvement driven by a series of cost reductions that we have implemented over the last 12 months, and particularly since April 2020. We are proud to report that this marks our fourth consecutive quarter of SG&A cost reductions, reflecting a constant evaluation of operating expenses and our ability to drive efficiencies across our geographies.  Net loss attributable to StarTek shareholders for the quarter was $5.2 million or $0.14 per share, as compared to a net loss of $3.6 million or $0.10 per share in the year ago quarter. Adjusted net loss in the second quarter of 2020 was $2.6 million or $0.07 per share as compared to the adjusted net loss of $0.1 million or essentially $0.00 per share in the second quarter of 2019. Adjusted EBITDA for the quarter was $8.8 million as compared to $11 million to the year ago quarter. As a percentage of revenue, adjusted EBITDA was 6.2% as compared to 6.9%. Our ability to maintain adjusted EBITDA margins in the 6% range, despite the severity of the COVID-19 challenges during the low points in April itself is a remarkable feat. From a balance sheet perspective, at June 30, our cash and restricted cash increased significantly to $56.4 million as compared to $39.7 million at March 31, 2020. This increase in our cash balance was primarily driven by strict control over costs and accounts payable that resulted in working capital improvements, deferred principal debt payments and a $7.5 million equity raise completed in June 2020. Total debt at the end of the quarter decreased to $149.9 million as compared to $175.2 million at March 31, 2020, primarily driven by the closure of our APL facility and repayment of loans from the proceeds of nonrecourse factoring. As a result, net debt at June 30, 2020, was reduced to $93.5 million compared to $135.5 million at March 31, 2020. Between our strong cash position, amended debt agreement and increased revolving facility, we are very confident with our liquidity position as it stands today. We will continue to actively monitor our working capital and cash flows prudently manage expenses and limit all nonessential spending. Given the improving trends in our business, we are now comfortable to begin reinvesting in both IT and non-IT capital expenditures in the back half of this year to further prepare us for the journey ahead, especially as global conditions surrounding the pandemic continue to evolve.  This concludes my prepared remarks and I will now hand over to Rajiv. Rajiv?
Rajiv Ahuja: Thank you, Ramesh. As Aparup mentioned earlier, our team has done an exceptional job of pivoting and adapting to this new and evolving environment amid the pandemic. Our ability to respond swiftly and facilitate remote work capabilities across our global footprint was driven by the new work at home solution we implemented called Star Cloud. Star Cloud gives us the ability to virtually hire, onboard, train and manage the performance of our work at home agents while keeping all of our current employees connected. We did not have such a comprehensive digital infrastructure in place prior to the pandemic, and I am very proud of the speed and agility displayed by our global teams in rolling out this solution.  We recognize that remote work will form a significant part of the new normal, and we are committed to ensuring that StarTek remains a part of this evolving landscape. Across our geographies, our Malaysian delivery sites were one of the first to bounce back quickly from the pandemic. Lockdowns and mobility restrictions have almost completely been lifted across Malaysia, which has allowed our workforce to move freely and work at higher levels of capacity. Meanwhile, the most significant COVID impacts we have felt around the world are consistent with what we reported last quarter.  In India, even though lockdowns were lifted, mass transportation did not reopen right away, and this affected our team members' ability to commute to and from work. The implementation of social distancing measures also impacted our ability to ramp up our workforce and productivity in the region, but we have now made better progress in bringing our teams in India back online.  In Honduras, nationwide lockdowns have been on and off over the past few months, which makes long-term visibility difficult. However, we have greatly derisked our business to these geography-specific effects by providing a robust, remote work infrastructure, and we will continue to further optimize this solution.  As we look ahead and consider the long-term effects of reopening's and lockdowns on our operations, we are closely monitoring our approach to how we manage our physical campuses. We have been in close communication with our landlords around the world about negotiating new terms, discounts and difference of our rents, and I’m happy to report that most of our landlords have agreed to partner with us and provide us with some form of concessions. It is a bit too soon to speculate what our long-term footprint may look like on the other side of the pandemic, but know that we are actively evaluating the cost benefit of keeping expensive pieces of real estate and underutilized campuses especially given the success of our work at home solution in many geographies. Regardless of the outcomes, we will continue to be prudent stewards of capital as we have proven during this turbulent period. Hopefully, it is apparent that we are optimistic about the consistent, significant improvements that we have driven across our organization through the pandemic, and we are focused on driving our performance even further in the quarters ahead. With that, I will pass the call back to Aparup for his closing remarks. Aparup?
Aparup Sengupta: Thank you, Rajiv. Thank you, Ramesh, for what you said. We cannot fully predict how the world will look in the months and quarters ahead. However, we have established an excellent foundation to manage through this environment. First and foremost, we will continue to place our highest priority on supporting and protecting our global workforce. Because when our team members are comfortable and well equipped, we know that our clients and their customers will receive the same high-quality experience that we have always delivered. The technological adaptations we made to ensure our global team’s safety and operational continuity have been remarkable. We are positioning StarTek to be at the new frontier of customer experience management, and I’m very grateful for the dedication of our teams around the globe and have gotten us to this position. We could not have imagined being on this strong of footing during the low points in April. Although I’m proud of the work that we have accomplished, we still plan to continue to improving our position as a value-added strategic partner to our clients. We are in a strong financial position and our strict and prudent focus on cost controls will carry forward. StarTek has demonstrated great adaptability and resiliency over these past few months, and we are well positioned to continue navigating this dynamic operating environment. Scott, we will now open the call for questions.
Operator: Thank you. [Operator Instructions] We do have a question from Dave Koning from Baird. Please go ahead. Your line is open.
Dave Koning: Yes. Hey guys, thanks so much. Nice job navigating through the difficulty.
Aparup Sengupta: Thank you.
Dave Koning: I guess – yes. Yes. And I guess my first question, I was reading through the 10-Q, and it talked about how at the end of July, you have 50% of your agents at home, 30% in centers and 20% idle. And I’m just wondering, how does that compare kind of with Q2? Just as I think about our revenue run rate, at the end of July, was that a similar mix to what Q2 was feeling? Or is that showing a pretty nice improvement, which would basically say Q3 should have revenue up from Q2?
Aparup Sengupta: Well, that would be forward-looking in my mind, Dave, but I can tell you that we have improved ourselves month-on-month, so April, May, June. I think we have definitely improved. And as we speak in July, we’ve scheduled a workforce, which is close to 90%. And while the workforce is one measure for figuring out what the revenue is going to look like. But by and large, if you look at the revenue of a quarter is a function of several things in terms of where expansion happens. Just to give you an example, an expansion in U.S. even for 100 people is almost 2 times more revenue than an expansion of similar headcount of people in Philippines or in India. However, the profitability is definitely higher in Philippines, not as much as in the U.S. So revenue and profitability is a function of many factors, which is very unique to client situations, but an estimation or a guestimation of the number of workforce that is now available for growth and for subsequent work that is going to happen in Q3 is a fairly good indication of potentially seeing growth of what we have seen in quarter two.
Dave Koning: Yes, that makes sense. That’s really helpful. I guess, secondly, you break out – in the filing, you break out like India and Sri Lanka revenue together as a segment, and that was down 40% year-over-year, and you talked through that on the call. I thought it was interesting, though the Americas revenue was actually up 10% year-over-year. And I guess, what’s driving that particular strength that that’s your biggest geo kind of place, too. So just wondering on that.
Aparup Sengupta: Sure. I will ask Rajiv to give you a sense of that, Rajiv?
Rajiv Ahuja: Thank you, Aparup. Yes, great question, Dave. So I think the similar difference if one can point it out is the fact that India, especially, had a lockdown, which was enforced by the law in letter and spirit. Whereas in the U.S., it was business as usual, life as usual, to a very large extent. There was an initial period where a number of states went into lockdown, and that impacted our ability to get people into our brick-and-mortar centers. But given the spike in cases in India, there was contraction in demand. And on the other hand, we were finding it difficult to get people into our brick-and-mortar centers, which is why India saw a drop of nearly 40% as pointed out by you, but good part is that we covered up some of that with a spike in demand that we picked up in the U.S.
Dave Koning: Yes, yes. No, that was great to see. And then maybe just the last one, just on costs. I mean you’ve done a remarkable job on SG&A and just keeping costs under control. Is it fair to think about that run rate as something where you probably wouldn't have cut that deep in a – I think it was a normal environment. So as things normalize, does SG&A kind of start ramping back up a little bit? Or can it stay as low as it's been?
Aparup Sengupta: Yes. I think, Dave, that's a great question. I mean, I've always believed that me and Rajiv and Ramesh, when we were discussing early month of April – in the early weeks of the month of April when we were staring at this something complete catastrophic pandemic that was staring at us, we said, you know what, we are going to do three things: We have to survive; we have to secure; and we have to shine. And in order to do that, we took all measures that were discretionary in nature and were not useful. So we just took a magnifying glass in looking at what are those discretionary expenses that we were doing which are not required if you have to run an efficient organization in a situation like this. And I would say that's the positive of COVID. I mean it taught us to be on our feet all the time, hour by hour, day by day, week by week, trial balance by trial balance across geographies, and we are happy to report significant improvement that has happened on SG&A, and that's the new normal on the base of which we will be working. However, when things open up post pandemic, probably people will start traveling. Customers would expect to just not a Zoom call or a team's call, customers would expect us to go and visit them or they would come and meet us and our business development team or operating team will go back to client site and do those meetings. So that will basically inch up the travel cost, which is part of SG&A. But barring that, I do not see much of, I would say, cost addition that would come other than what is customary for natural business growth that happens, you add proportionate workforce, which help in managing those processes. So long story short, I think we have not gone to the bone. We are in a very comfortable position. We feel very proud of what has been accomplished. At the same time, we have now set a kind of a benchmark for ourselves that this is the foundation on which we will build and grow this organization.
Dave Koning: Great. Thank you.
Aparup Sengupta: Thanks, Dave.
Operator: And our next question is from Mark Argento with Lake Street Capital Markets. Please go ahead. Your line is open.
Mark Argento: Yes. Good afternoon everybody. And its work in a tough environment. I was hoping if you could maybe highlight any sectors or end markets that you're seeing any kind of increase in activity, maybe e-commerce or other types of financial services relative to maybe some of the travel, if you could highlight anything there that would be great. And then a quick second question around going forward, given how you guys have been able to pivot fairly successfully to more of a work from home environment. Do you see that model on a more of a flex type model in the future? Is something that you might keep in place post pandemic? Thanks.
Aparup Sengupta: Sure. I'll just give you a very high-level strategic overview as to where it stands, and I'll ask Rajiv to fill in the details on the client ecosystem. The global pandemic, what it has done is it has done two things: One is, it has certainly taught all of us. And as to how to be agile and have the ability to be a continuing partner, which is irrespective of the ability for agents to go and sit on brick and mortar campuses. So I would say, during the toughest times, innovations happen. And I would say the innovation that has happened at StarTek, and we will continue to see that momentum ahead is that we created a product, a service product called Star Cloud. The Star Cloud is universal ability that actually allows an agent to work from anywhere in the world, and that has made us a truly global organization, which is now agnostic to where we have our centers. As long as somebody has an internet connection – reasonable good Internet connection, he has the ability – he or she has the ability to basically support a customer. So that happened, and we are clearly seeing customers are saying that, well, this seems very interesting, and this is something that we would like to have as a continuing offering as you go and move ahead. They feel very comfortable that during pandemic times that we have not shut the shop and gone home, we have continued to service them. So this is going to be definitely a part of the offering. Now what is going to be the mix of how much will be work from home, and how much will be brick-and-mortar, is an answer I do not have at this point in time because human memories change if COVID goes away and vanishes from this world, people might still want to have people sitting in centers. So those are kind of more of a pot shot. I don't want to take that. But definitely, the Star Cloud is going to be one of the key competitive advantage that we have created in the marketplace in which we have deployed. So as that is concerned. On the client side, we are seeing very interesting things unfolding, especially in the e-commerce and cable and media and healthcare. And I think Rajiv is at the heart of it, and he will give you a very good highlight on that. Rajiv?
Rajiv Ahuja: Thank you, Aparup. Yes. So Mark, I think you partially answered the first part of your question, we see verticals like e-commerce, BFSI, cable and media and healthcare, especially starting to – starting to run hot now as lockdown start getting lifted and people start stepping out. Where we see continued contraction in demand is across essentially for industries, retail, automotive, travel and hospitality. And our circuit view is that these four industries will probably be the last to get back on their two feet. Part is that StarTek exposure to these four verticals: retail, automotive, travel and hospitality, is far, far lower than some of our competitors. So it hasn't affected us to the extent that some of the others have been affected. Coming to part two of your question, I think the future of work is going to look very different post the pandemic or because of the pandemic and work from home will form a significant component. Aparup is absolutely spot on that it will be purely speculative on our part as we try and attach a number to it, but we do expect a significant component of the workforce to continue to operate from their living rooms.  And that is why we've come up with this offering on a Star Cloud, which can essentially enable remote working or working from home with intelligent and purposeful automation dovetailed into it. So we're probably in a better position to give you what those numbers look like, maybe a couple of quarters down the road. But at this point, all I can say is that we force work at home, forming a part of a number of our clients' overall network strategies.
Mark Argento: That makes sense. And then just one quick follow-up. Could you highlight or maybe shed some light on kind of any new capabilities or services that your clients might be asking of you or from you in this new environment in terms of being able to serve their customer?
Rajiv Ahuja: Yes. So what we have done is, let's take what are the current contact channels that are in place. You've got phone, you’ve got email, chat you’ve got, SMS, mobile apps, you've got the web, you've got social media and video that are the different contact channels that are currently in play. What Star Cloud effectively does is it brings contact intelligence coupled with contact efficiency coupled with contact automation thereby helps deliver an omnichannel experience, seamlessly agnostic to the location of where the agent is based out of.  So that's now forming a critical part of our go-to-market strategy, both with our existing clients as well as with the prospective clients that we are talking to. And it's amazing how phenomenal a shift – a tectonic shift there has been pre-COVID and since COVID broke in terms of how clients are warming up to the idea and are willing to embrace some of these digital capabilities that I just spoke to you about.  So we force a lot more digital and automation coming in over the course of the next few quarters because clients now realize that automation can help them deliver more for less. So that forms an overall part of our digital capabilities, and it's being viewed at very – being looked at very favorably by all the clients that we are in touch with.
Aparup Sengupta: And Mark, just to just give you a very macro view – mark, just to give you a macro view of what just Rajiv said, we are clearly looking at and staring at the capability that we have developed on Star Cloud. We are seeing that customers in this pandemic, they have learned a few things, and that is how to be resilient, how to manage disaster recovery, and what is business continuity? Star Cloud certainly has gone and proven to a customer that if we have 100-seater or a 500-seater, maybe in the U.S. or 1, 000-seater Philippines and so on and so forth, we now have kind of an infinite seater capacity, that can be lit up anywhere in the world. So that's a huge amount of assurance that outsourcing managers in companies feel very comfortable about. And this is just not their capability.  It's also our ability to ride on their infrastructure and basically package the whole thing of a conversation and the context and bring it back and light it up at home with almost similar – near similar kind of accuracy and security, even in a zero-trust network. So that's a tall order. And that would have been a very theoretical PowerPoint slide had there not been a pandemic, but this is now proven. And in times of a real, real large-scale beta, if I may say, that the clients have really embraced in a very, very big way, and we believe that we will definitely come out very stronger agile workforce so far as in the customer experience space is concerned.
Mark Argento: Thank you very much for additional color and good luck guys.
Aparup Sengupta: Thanks, Mark.
Operator: We have a question from Zach Cummins with B. Riley FBR. Please go ahead. Your line is open.
Zach Cummins: Hi, good afternoon. Thanks for taking my questions. I really appreciate it. And congrats on the nice bounce back throughout Q2. I guess, just speaking to the two new healthcare clients that you talked about in the script. I know – can you give us a sense of how you came about wanting these clients? Was it a highly competitive bid? Or was it something where these clients were proactively coming to you to try to find a way to more proactively serve their end customers?
Aparup Sengupta: Fantastic. That's a great question, and it gives me the segue to once again mention that – which I had mentioned earlier that we have got Rick Ferry as Executive Vice President for Business Development, and he's based of North America. He's a very astute and seasoned leader and has been in this space for a very, very long time and has been a very dear also during my erstwhile ages days, where I was a global CEO and end of the day, clients, in these times, have to go with partners that not only have the capacity, but also the capability and the executive air cover that is required to manage large-scale programs.  And these healthcare customers that we are talking of are fortune class companies. So yes, kudos to pretty much the business development team that went and opened the door, but opening the door is one part, but also executing them flawlessly is another. I think on both front, especially with Rajiv and Mario, our team members on the operating side and Rick Ferry on the business development side, created a phenomenal executive air cover that the clients feel very assured and confident. And I think that has led to signing up these two large contracts that we have talked of, and we have one more contract that we are not discussing at this point in time, but that's also very, very accretive contract. So our business development machine has started kicking in.  The engine has cranked up, and it's only a matter of time with all these digital capabilities and some more to come in the future. We feel very poised and comfortable as to where we are going to take this company to. 
Zach Cummins: Understood. That's helpful. And speaking of the digital capabilities, I mean, with the launch of Star Cloud, do you speak to how the mix of voice volumes versus all your other digital channels has really changed with your agents since the start of the pandemic? 
Aparup Sengupta: I will just give a technology answer, and Rajiv can give the process answer. The technology answer is that the beauty of StarTek Star Cloud is that when you go into a call center, you ride on two channels. One is a voice in which the voice comes and other is that technology, which is a screen, which is a CTI that pops up. So you have a kind of interconnectivity with the client server, which is one connection, and you have the voice, which is routed through an ACD or IVR and so on and so forth.  So the ability to merge these two and bring into a single unit, is what start cloud is all about. And that has now given an agent to speak on the same line on the phone as well as work simultaneously. So that is a significant technological, I would say, system integration with multiple partners and R&D that our technology team quickly brought into bear.  Now in terms of processes, how customers are thinking in terms of digital capability, Rajiv is at the heart of it capability, Rajiv is at the heart of it in the boiler room. So Rajiv, over to you. 
Rajiv Ahuja: Yes. Thanks, Aparup. I think you've covered a large part of it, but Zach just to be a little more specific. At the moment, pandemic broke and lockdown started and the virus started spreading in the lockdown started getting enforced. Obviously, business continuity was the first thing that was up or most in the minds of every client. And they have to make sure that irrespective of the geography, the lights were on. So volume was diverted to different parts of the global network. And there were certain geographies and take India, for example, where even though we get up a work at home solution very quickly, but because of restrictions on or limitations on account of Internet penetration, bandwidth availability, et cetera, clients decided to change the contact channel from, say, voice to chat or e-mail for that matter.  So we did see a change in the product mix because prior to the pandemic, 95% of the volume that StarTek used to pick up was essentially voice-based. That has changed to a certain extent post the virus breaking loose, but whether that will continue into the future, once things start picking up, is something that is work in progress. Discussions are still on with clients. We're probably in a better position to report that next quarter or the quarter after that, but yes, there was a shift and a change in the product mix as opposed to pre COVID. 
Zach Cummins: Understood. That's helpful context. And then just final question, Ramesh, geared towards you. I know in your script, you mentioned that there was plans to ramp up investments in CapEx in the back half of this year. Can you provide us a little more detail on the areas those investments will be geared towards? 
Ramesh Kamath: Zach, this is forward-looking statements, I can't provide details, but as we have seen the business growing and our new clients ramping, and the initiatives that Rajiv and Aparup mentioned on the digital side, technology investments will be something that we will definitely – I would say, go ahead to make sure we don't lose the edge on growth. 
Zach Cummins: Understood. That's helpful. Thank you again for taking my questions.
Ramesh Kamath: Yes.
Operator: And we have a question from [indiscernible] private investor. Please go ahead. Your lines open.
Unidentified Analyst: Hey, guys. How are you. Thank you for taking questions. Hi, Omar. So I was expecting a worse result. So I'm pleased to see how you guys really, I mean what Ramesh said, it was a remarkable feat, for sure. I was looking at the 10-Q, and I noticed that revenue essentially quarter-over-quarter, it was down 11.6%. However, the segment operating income was only down 6.8% – from – I mean, obviously, SG&A cuts help, but how are you able to soft land the impact on the gross profit so nice? 
Aparup Sengupta: Ramesh, do you want to take that? 
Ramesh Kamath: Sure. Omar, you would have seen that while the gross margin did decline, but our continuing decline on SG&A has helped us to soft land. Instead of seeing year-on-year, which was very impressive, quarter-on-quarter, our SG&A dropped itself by close to $2.6 million across the board. A fair amount of it was part of the ongoing process that had started earlier this year on cost cutting, and that will help us to land a little bit more softly than we would have.  At the direct cost level also, when the pandemic hit us, it provided limited time for us to react, but as the quarter more had the entire operating team really focused on cutting costs across wherever it is possible. And that is why the decline on gross margin is also not as much as it could have. So it's been a huge amount of hard work for Rajiv and his entire team, but I think we have done an exceptional job
Unidentified Analyst: I have to agree. In terms of the swift cost-cutting SG&A, could you guys comment on what were the areas that saw the most significant impact or in terms of those cuts?
Aparup Sengupta: See, I call it is, which is talent. Talent, technology, training and other associated transactional expenses such as transportation and so on and so forth. So we came up with this 4T strategy, which is to focus on all elements, which are discretionary in nature, which are categorized into three parts, which is vital, essential and desirable. So we focused on that, what do we need as vital energy, what is essential and keep those? And basically, if we do not need, kill those. So this keep and kill strategy around those four areas, the 4Ts that I've talked of around this vital essential and desirable was kind of a three-dimensional approach that the entire leadership team got together and systematically went and insured. So some of them had to do with talent, which has to do with labor, which were kind of fat sitting somewhere. Something was to do with technology where they were after the merger of the company, some reorganization and some optimization on that front were done and something were related to the manner in which training was imported and there's remote learning and development life cycle that we have implemented in Star Cloud, which is from hire to retire process. So all those basically kept in, and then we also looked at optimization of all the transactional stuff like transportation and so on and so forth, where we bust people and we optimize some of those stuff. So all this put together has really, really actually worked like a symphony, and they worked at a breakneck speed, and we were maniacal in some form because we also had to conserve cash. And that kind of brought in the outcome of what you see in quarter two. So we are ready, I would say, we have survived, we have secured, and we are going to work towards shining.
Unidentified Analyst: Very good. And in terms of one of those phones, you said, the labor part of it, obviously when you're when you're in that kind of situation, you have to swiftly shut down or reduce. So I'm wondering if you could characterize the impact I'm not sure if we saw it in this quarter or maybe we'll see it maybe in future quarters. But obviously, you're going to have turnover and retraining in some cases. I was wondering I guess, how much of an impact that would have? Or did you experience for that in terms of turnover and returning of agents or maybe coming up in the future? I don't know if anything you can say about that.
Aparup Sengupta: That will be very hard to comment, Omar, at this point in time because it's very unique for every program. Rajiv, would you like to take a stab on it, but I don't think we can comment very specifically on this very large generic question.
Rajiv Ahuja: Yes. But I'll just take a quick stab at it, Omar. Let's assume for a moment, a particular program went dock on account of demand. And what we did was in turn at our end, everybody that was associated with that program went on a no work, no pay model. So thereby, we weren't carrying extra cost when there was no revenue that was flowing into the organization. However, when it comes to once these programs, hopefully, are up and running, demand picks up, at that point of time, the psychology of the workforce, how many of them will come back, we have to hire a large bunch of people and then put them through training again is something that is yet to play out. But as of this point, we – rather than effect layoffs referred to what people are no work, no pay and through a virtual system that we have – that HR has put into place globally, we are keeping these contacts from on a weekly basis, team leaders are in touch with their agents. They're talking to them, just making sure that they're doing fine on the one hand. And on the other hand, also telling them that they we've got to constantly keep making sure that they are brushing up their skills and staying up-to-date with the process. So that, I think, will – when people start coming back into our centers. But – and that would be contingent upon when demand picks up, but difficult to attach a number, difficult to attach a person to each to it at this point of time, at least.
Unidentified Analyst: No, that’s helpful. And finally, obviously, it seems in the Americas, I think you mentioned where were hard hit in terms of revenue for the quarter. Can you talk about what you see for those markets for you guys as the recovery continues?
Rajiv Ahuja: So I think it will be fair to say that we are ready willing and able – that we are already willing any volume as and when that demand starts picking up. Like I said, we are keeping the current workforce warm. We got a large percentage of our workforce now deployed at home. And at very short notice now, almost within about 12 to 18 hours, we can actually light up a work at home solution. That's the journey our global technology teams have covered over the course of the last few months. So I think it's just a matter of when demand starts picking up. And I know that from the supply side, I can underwrite that we'll be in a position to meet whatever demand exists out there.
Unidentified Analyst: Very good guys. Well, thank you very much for answering the questions and I wish the best of lot to give you guys going great.
Rajiv Ahuja: Thank you, Omar.
Operator: At this time, this concludes our question-and-answer session. I would now like to turn the call back over to Mr. Sengupta. Please proceed.
Aparup Sengupta: Thank you, Scott. And thank you all for joining us this afternoon and for your continued support of StarTek. I look forward to speaking with you next when we report our third quarter results. Thank you. Stay safe, stay healthy. Bye-bye.
Rajiv Ahuja: Thank you everyone.
Operator: Thank you. You may now disconnect.